Operator: Good morning and welcome to the Q4 2021 Washington Trust Bancorp Incorporated Conference Call. My name is Juan and I will be your operator today. [Operator Instructions] Today's call is being recorded. And now I will turn the call over to Elizabeth B. Eckel, Senior Vice President, Chief Marketing and Corporate Communications Officer. Ms. Eckel please go ahead.
Elizabeth B. Eckel: Thank you. Good morning, and welcome to Washington Trust Bancorp Inc.'s 2021 fourth quarter and year-end conference call. Joining us for today's call are members of Washington Trust Executive team. Ned Handy, Chairman and Chief Executive Officer; Mark Gim, President and Chief Operating Officer; Ron Ohsberg, Senior Executive Vice President, Chief Financial Officer and Treasurer; and Bill Wray, Senior Executive Vice President and Chief Risk Officer. This presentation may contain forward-looking statements and actual results could differ materially from what is discussed on today's call. Our complete safe harbor statement is contained in our earnings press release, which was issued yesterday and in other documents we filed with the SEC. These materials and all public filings are available on our Investor Relations website at ir.washtrust.com. Washington Trust trades on NASDAQ under the symbol WASH. I'm now pleased to introduce the host of today's call, Washington Trust's Chairman and CEO, Ned Handy.
Ned Handy: Thank you, Beth. Good morning all and thank you for joining our fourth quarter call. We do appreciate your time and continued interest in Washington Trust. This morning I'll provide an overview of our fourth quarter highlights and then Ron Ohsberg will review our financial performance. After our prepared remarks, Mark Gim and Bill Wray will join us to answer any questions you may have about the quarter. I'm pleased to report that Washington Trust posted strong fourth quarter results with net income of $20.2 million or $1.15 per diluted share, compared with $18.8 million or $1.07 per diluted share in the prior quarter. In the quarter, we hit record highs in wealth management revenues, assets under management and total in-market deposits. Ron will provide more detail. For the full year, we generated net income of $76.9 million or $4.39 per diluted share. Once again this quarter we were well-served with diversity of our revenue sources and our commitment to strong credit practices, which have helped to minimize potential costs associated with the pandemic. Our strong brand positioning in the Rhode Island market supports moderate branch expansion along with investment in digital capabilities and access points. We have commenced construction of our new branch in Cumberland Rhode Island. Our team has done an exemplary job of managing through the pandemic, keeping the branches open and staffed and safe for our customers. In 2021, we grew in-market deposits by $678 million or 18%. Fourth quarter mortgage lending activity remained robust as we continued to take advantage of low rates in the strong markets in which we operate. Full year mortgage originations reached a record high of $1.69 billion. At year-end, our wealth management division's assets under administration stood at a record $7.8 billion and revenues reached a record high. In the quarter, we rebranded and restructured our Rhode Island, Massachusetts and Connecticut Wealth Management offices. They now operate in one unified name Washington Trust Wealth Management. Washington Trust has built one of premier boutique advisory groups through both organic growth and strategic acquisitions and this will better position our wealth management group for future growth. As a collaborative organization, we are able to offer clients Washington Trust's complete resources to help them manage their wealth, achieve their financial planning goals, build a legacy and meet their banking and borrowing needs. As part of the rebrand, we launched an enhanced wealth management website and comprehensive marketing campaign. In 2021, total loans excluding PPP loans were up 6%. In the latest quarter loans excluding PPP were up by 1% buoyed by growth in residential loans. New loan formation in commercial was strong in the quarter but was more than offset by payoffs and paydowns. The commercial pipeline is relatively strong, entering 2022 but the extent of payoff activity continues to be difficult to predict in the continued low rate environment. We're investing time and talent to be sure we are staying informed about advances in the fintech space. We believe that active engagement with the fintech ecosystem is an important method of understanding both new opportunities as well as competitive challenges. We're making incremental improvements to products and processes constantly and we often partner with our core providers and with fintech companies to achieve the best outcome. During the quarter, we continued to make progress on our COVID-impacted loan deferrals, ending the quarter with only two loans in deferral to one borrower. And forgiveness of PPP loans continues to be processed smoothly through the SBA system. Overall, credit has remained very strong and has contributed to a negative provision for credit losses in the quarter. We feel confident about how we and our customers have managed through the pandemic although the latest variant confirms the need for a careful approach to determining optimal work structure and timing for transition. We're optimistic about the economic landscape with improved unemployment levels, approximately 10 million jobs still to be filled nationally, strong corporate earnings and buoyed consumer strength, outweighing geopolitical concerns, the lingering impact of COVID-19 and the impact of inflation. In the quarter, Washington Trust was named one of the nation's Best Banks to Work for by American Banker Magazine for the second straight year. Notably Washington Trust was the only Rhode Island-based institution to receive this recognition. I want to take this opportunity to thank our employees for their perseverance, their positive outlook and their consistent concern for each other and our customers. We continue to invest in our workforce to ensure our team is well compensated and has the right training tools and technology. And we are attuned to the challenges of a hybrid work environment and offer wellness programs to ensure our employees maintain a good work-life balance. With that, I'll turn the call over to Ron, for a more detailed review of our financial performance.
Ron Ohsberg: Thank you, Ned. Good morning, everyone, and thank you for joining us on our call today. As Ned mentioned, net income was $20.2 million or $1.15 per diluted share for the fourth quarter. This compared to $18.8 million and $1.07 for the third quarter. Full year net income for 2021 was $76.9 million or $4.39 per diluted share, up by 10% from $69.8 million or $4 per diluted share reported for the prior year. Net interest income amounted to $37.7 million, up by $1.7 million or 5% from the preceding quarter. The net interest margin was $2.71, up 13 basis points. Net interest income continued to benefit from PPP forgiveness fee income, which totaled $1.2 million and had a nine basis point benefit to the margin. This compared to $2 million and 13 basis points in the third quarter. Additionally, there was $2.2 million of commercial loan prepayment fee income in the fourth quarter, which had a 16 basis point benefit to the margin. There was no prepayment fee income in the preceding quarter. Excluding the impact of both items the margin increased one basis point from 2.45% to 2.46%. Average earning assets decreased by $8 million, largely reflecting a decline of $36 million in average loans, which also included a decline of $64 million in average PPP loans. This was partially offset by increases in average investment securities and cash and due from banks. The yield on earning assets was $2.97 for the fourth quarter, up by 12 basis points. On a core basis, it was $2.72 unchanged from Q3. On the funding side, average in-market deposits rose by $203 million while wholesale funding sources decreased by $257 million. The rate and interest-bearing liabilities declined by one basis point to 0.34%. Non-interest income comprised 35% of total revenues in the fourth quarter and amounted to $20.3 million, down $213,000 or 1% from the preceding quarter. Wealth management revenues were $10.5 million in the fourth quarter, up by $49,000 or 0.5%. This included an increase in asset-based revenues, which were up by $193,000 or 2% and a decrease in transaction revenues of $144,000. The increase in asset-based revenues correlated with an increase in the average balance of assets under administration, which were up by $86 million or 1%. December 31, end of period, assets under administration totaled a record $7.8 billion, up by $341 million or 5% from September 30 largely due to market appreciation. Our mortgage banking revenues totaled $4.3 million in the fourth quarter, down by $2 million or 32%. Net realized gains on sales of loans were $5.7 million, down by $55,000 or 1% from the preceding quarter. A lower sales yield was essentially offset by higher sales volume. Market pricing has been compressing the sales yield and we expect this trend to continue into 2022. Mortgage loans sold totaled $197 million in the fourth quarter up by $23 million or 13%. Mortgage banking revenues in the fourth quarter are also impacted by negative fair value changes on mortgage loans held for sale and forward loan commitments of $1.6 million largely reflecting a decline in the mortgage pipeline. This compared to a positive fair value change of $467,000 in the preceding quarter. Mortgage loan originations amounted to $363 million in the fourth quarter, down by $33 million or 8%. Full year 2021 originations reached an all-time high of $1.69 billion up by $16 million or 1% from 2020. The percentage of originations to be sold in the secondary market has been in the 50% range for the previous three quarters and this was down from 65% to 70% previously. Our mortgage origination pipeline at December 31 was $194 million down by $87 million or 31% from $281 million in the pipeline at the end of September. Loan-related derivative income was $2 million up by $1.2 million from the preceding quarter and income from bank-owned life insurance totaled $1.1 million in the fourth quarter up by $526,000 due to life insurance proceeds. Regarding noninterest expenses. These were up by $2.7 million or 8% from the third quarter. In the fourth quarter, debt prepayment penalties of $2.7 million were incurred to pay off higher cost FHLB advances. Excluding the impact of these penalties noninterest expense was essentially unchanged from the third quarter. Salaries and employee benefits decreased by $638,000 or 3% in the fourth quarter largely reflecting adjustments to performance-based accruals. This was essentially offset by an increase of $291,000 in outsourced services expense due to higher swap volume, as well as modest increases across a variety of other categories. Income tax expense totaled $5.5 million for the fourth quarter. The effective tax rate was 21.3%. We expect our full year 2022 effective tax rate to be approximately 21.5%. Now turning to the balance sheet. Total loans were down by $13 million from September 30 and up by $77 million or 1.8% from a year ago. In the fourth quarter total commercial loans decreased by $64 million or 3% which included a net reduction in PPP loans of $39 million. Excluding PPP loans commercial loans decreased by $25 million or 1%. Breaking this down a bit commercial real estate loans decreased by approximately $23 million. New loan formation in the quarter was strong at a $123 million that was offset by an elevated level of payoffs of $146 million. C&I loans excluding PPP decreased by approximately $2 million as payoffs of approximately $49 million were essentially offset by new loan originations and advances of $47 million in the quarter. Residential loans increased by $55 million which included originations of $174 million. In-market deposits were up by $162 million or 4% from September 30 and up by $678 million or 18% from a year ago. The increase included growth across all deposit categories. Wholesale brokered CDs were down $240 million in the fourth quarter and FHLB borrowings were down by $78 million reflecting the prepayment of $45 million of higher cost FHLB advances in the fourth quarter. Total shareholders' equity amounted to $564.8 million at December 31, up by $9.5 million. Washington Trust remains well capitalized. Our fourth quarter dividend declaration of $0.54 per share was an increase of $0.02 per share from the previous quarter and was paid on January 7. Regarding asset quality non-accruing loans were 0.33% of total loans compared to 0.26% at the end of Q3. Loans past due by 90 days or more were 0.24% of total loans compared to 0.22% at the end of the third quarter. TDRs increased by $9.4 million from September 30 due to the restructuring of a commercial real estate relationship that did not qualify for additional TDR accounting relief. The allowance for credit losses on loans totaled $39.1 million or 0.91% of total loans and provided NPL coverage of 275%. This was down from $41.7 million or 0.97% in Q3. Excluding PPP loans the allowance coverage was 0.92%. The fourth quarter provision for credit losses was a negative $2.8 million. There was no provision recognized in the third quarter. The reduction in the ACL reflected a continued downward trend in loan loss rates, as well as improvements in forecasted economic conditions and relatively stable asset quality metrics. We had net recoveries of $27,000 in the fourth quarter compared to net charge-offs of $168,000 in Q3. Full year 2021 net charge-offs were $417,000 or one basis point compared to $1.1 million or three basis points in 2020. And finally regarding COVID-19, as of December 31, we had a single deferment on a commercial real estate relationship totaling $9.7 million. This is down from active deferments totaling $38 million or 1% as of September 30. Also, as of December 31, we are reporting 347 PPP loans totaling $38 million. In the fourth quarter, about $40 million of loans were forgiven by the SBA with $1.2 million of fees accelerated into income. Net non-amortized fees amounted to $1.3 million as of December 31. And at this time, I will turn the call back to Ned.
Ned Handy: Thank you, Ron. This was another strong quarter and year for Washington Trust and we feel very well positioned heading into 2022. And at this point, we're happy to take any questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Mark Fitzgibbon from Piper Sandler. Please Mark. Your line is now open.
Mark Fitzgibbon: Thank for that. Nice instruction and happy New Year everybody.
Ned Handy: Good morning, mark.
Mark Fitzgibbon: First question. I wonder if you could share with us the size and complexion of the pipelines both commercial and mortgage?
Ned Handy: Yes. I'll start on commercial and then Ron I think you gave some stats on the mortgage, but we can go through that too. Actually the pipeline on the commercial side Mark is relatively strong. It's up almost $90 million over where it was last year at this time. It's a $175 million. And interestingly, it's weighted towards C&I. So, it's about $100-plus million in C&I and the balance in CRE. So, we've really sort of renewed and refreshed activity in the Connecticut marketplace on the C&I front. We're pretty active in the assisted living with the memory care element to it space and that has proved to be pretty fruitful for us and we see some good activity there. Now we have got couple of $100 million of yet to be funded construction proceeds out there. So we continue to expect kind of $7 million or $8 million a month in construction funding for the next year.
Ron Ohsberg: Yes, Mark. As far as residential, I mentioned our pipeline is $194 million. It has been declining now for three or four straight quarters. It is declining as I am sure you've seen across the national environment, but I don't know if there is more to it than that.
Mark Fitzgibbon: Okay. No, I think that's good. And then on -- I guess as it relates to Mortgage banking revenue, when you guys do your budgeting for that business, do you sort of utilize the MBA stats in terms of expected volumes for 2022 or do you think your business will perform a bit differently than the industry trend?
Ron Ohsberg: Yes. So we certainly look at the MBA data to inform how we think about things. So, I guess, I can give a little bit of guidance on that. So the MBA is projecting the industry origination volume will decline about 35% year over year and we are expecting a somewhat lesser decline than that maybe in the high 20% range. You know this is all speculative given potential movements and rates. Mortgage Bank revenue is dependent on the percentage of originations sold, which has been trending down a bit for us as well as sales yields, which are trending internationally. But we do expect revenues to be higher in 2022 than they were pre-pandemic.
Mark Gim: This is Mark, I'll add some…
Mark Fitzgibbon: I'm sorry, Mark. Go ahead. 
Mark Gim: I was going to say that, while originations and pipeline volumes are down from previous quarters, as Ron said, we still feel that purchase activity is quite robust. And in the markets that we serve, given the size of mortgage loans, particularly in the Boston metropolitan area, the purchase market still should produce a fairly robust level of loan originations, which we tend to retain in portfolio. Today that pipeline is about 45% purchased. So the bigger decline on a relative basis will have been in refinance conforming sale activity.
Mark Fitzgibbon: Okay. Great. And then, I think, you have 1.2 million left in deferred PPP income. I'm wondering, do you expect most of that to come in, in the first quarter?
Ron Ohsberg: So I would say, about half of what we had remaining at the end of September came in, in the fourth quarter and it looks like the trend is about the same. So maybe it's got a half-life, Mark. About half will probably come in according to what we've seen in the brief period of the first quarter so far.
Mark Fitzgibbon: Okay. And then, Ron, I wonder if you could just kind of give us an update on what the impact on NII is for each 25 basis point hike in rates.
Ron Ohsberg: Yes. So we estimate that at about say $1 million.
Mark Fitzgibbon: That's on an annualized basis?
Ron Ohsberg: Yes.
Mark Fitzgibbon: Okay. And then, can you help us think about sort of other significant moving pieces as it relates to the margin. I know you had the prepayment penalty income this quarter and the PPP fees, but anything else that we should be thinking about as we model out margins for 2022?
Ron Ohsberg: Yes. I don't think so, Mark. So we had a core margin of 2.46% in the fourth quarter. All of our more expensive longer-term FHLB debt has been paid. So there's no more opportunity there. So excluding PPP and excluding any change in the Fed funds rate, we'd expect our margin to be pretty much in line with what we reported on a core basis in the fourth quarter at mid-240s.
Mark Fitzgibbon: Great. And then just one last question. What sort of growth rate are you budgeting in 2022 for technology-related spending? Thank you.
Ron Ohsberg: Yes. It's nothing unusual. I mean, we've been -- Mark, our overall expense growth rate we think is about 5-ish percent. We have no major technology initiatives planned. So it's kind of steady as she goes. 
Mark Fitzgibbon: Thank you.
Ron Ohsberg: Yes.
Operator: Thank you. Our next question comes from Laurie Hunsicker from Compass Point. Please, Laurie, your line is now open.
Laurie Hunsicker: Hi. Thanks. Good morning.
Ned Handy: Good morning, Laurie.
Ron Ohsberg: Good morning, Laurie.
Laurie Hunsicker: I wanted to check on expenses. So a couple of things, obviously, the debt prepay that was great, the $45 million. How much was that costing and when in the quarter did you guys prepay that?
Ron Ohsberg: Yes. So that was early in the fourth quarter that average cost of that was about -- was 2.59%. And so when we did that we expected to get about a basis point of benefit in 2022 off of that.
Laurie Hunsicker: Okay. Okay. And that's somewhat fully baked then. The other expense line looks high at $2.38 million. Was there onetime items in that? I'm talking about the other non-interest expense line? Was there rebranding? I mean, when we look down and obviously your core expenses are holding really nicely. Was there anything nonrecurring that drove that number higher? How should we think about that?
Ron Ohsberg: Yes -- no. No, no, it's just kind of just normal activity.
Laurie Hunsicker: Okay. Okay. And then can you help us think a little bit about your approach with any de novo that you're seeing out there any potential? And maybe that dealing with that how should we think about core expense growth in 2022 and 2023?
Ron Ohsberg: Yes. So we've been -- okay. Mark, go ahead.
Mark Gim: I was going to say de novo just to clarify you meant de novo branching activity? 
Laurie Hunsicker: Yes, de novo branching, yes. 
Mark Gim: Okay. Go ahead Ron. 
Ron Ohsberg: Yes. Yes. So Laurie, we've announced that we've got one branch coming online in Cumberland Rhode Island probably kind of in the middle of the year. Our annual run rate on that is about $650,000. And some of those expenses are being incurred in advance of the actual opening. So if you're looking for a run rate impact, I'd say, about $650 million. 
Laurie Hunsicker: Okay. And any other de novo plans in the works…?
Mark Gim: Laurie, this is Mark. We do think that there still are opportunities for us to be placing branch locations and some of the demographically attractive Providence area suburbs. Just to give some context the East Greenwich location that we opened in May of this year just past the $30 million mark, which is a very attractive number to get in less than nine months of being fully opened. So we believe the opportunities are there. Core expense [ph], the balance growth for us has been very strong during the pandemic and we have a lot of reason to believe that it is not simply temporary park in place for liquidity. So while we're aware of changes in technology and delivery alternatives for customers, the recent experience has shown this is a very robust way of us for us to build low-cost core deposit balances to help us replace some of the more expensive wholesale funding on the balance sheet.
Laurie Hunsicker: Great. Okay. And can you all just comment on how we should think about core expense growth both for this year and then for next year? Thanks.
Ron Ohsberg: Well, I mean, next year being 2023, I mean, I don't think we're thinking quite that far ahead yet, Laurie. But on just a core expense basis, we're looking at -- this is excluding the prepayment expense that's done. Everything else probably a 5% increase excluding that branch cost that I mentioned.
Laurie Hunsicker: Got it. Okay. Great. And then I just wanted to clarify one thing. The PPP income that you booked this quarter $1.2 million, there's $1.2 million remaining on the $38 million of loans. Is that correct…? 
Ron Ohsberg: 1.3 -- yes, we have 1.3 remaining at the end of the year. Yes. 
Laurie Hunsicker: Okay. Great. And then last question for you. Can you just refresh us with your strong stock currency your thoughts on M&A?
Ned Handy: Yes. Thanks, Laurie. It's always part of the thought process. Pricing has been high on the bank side. There's not a whole lot of opportunity left. We're always sort of eyes and ears open. There's nothing in the hopper right now on that front. Mark, do you want to comment on the wealth side? 
Mark Gim: Sure. Although, you asked specifically about bank M&A Laurie, we're interested in wealth M&A and are trying to take a more proactive approach to identifying partner firms in the areas that we serve that we think would fit well with our business model not just within wealth management but the commercial retail and higher-end residential mortgage services we could offer to our customers. So we remain active on that front although we try to be prudent about valuations and their effect on GAAP earnings.
Laurie Hunsicker: Thank you very much for taking my questions.
Ned Handy: Thanks, Laurie.
Ron Ohsberg: Thank you, Laurie.
Operator: Thank you. The next question comes from Damon DelMonte from KBW. Please Damon, your line is now open
Matt Rank: Hi. This is actually Matt Rank filling in for Damon. I hope everybody is doing well today.
Ned Handy: Good morning, Matt
Matt Rank: I was hoping to get your – Good morning. I was hoping to get your thoughts on the loan derivative income and if you're still seeing higher levels of commercial swaps heading into the year? And do you think it will remain elevated throughout 2022? 
Ned Handy: Yes. I think credit formation given where the pipeline is today we'll continue. All signs are that will we'll do as much as or more than we did last year and derivative income comes along with new volume with rates positioned where they are I think it's an attractive opportunity for our customer base and many of them choose to go that route to fix a rate. So we expect that that will continue.
Matt Rank: Okay. And was there any seasonality in Q4? Do you expect like it's a run based on that number or maybe a lower level? 
Ned Handy: Yes. We funded nearly $100 million in the month of December alone. So the fourth quarter was a pretty big quarter for volume and derivatives. I think it's probably safe to say that it will spread out throughout the course of the year depending on when the volume comes on board. It's hard to nail it to a quarter but I would suggest spreading it out over the course of the year. 
Matt Rank: Okay. Great. Thank you. I’ll step back.
Ned Handy: Great. Thanks, Matt.
Operator: Thank you. [Operator Instructions] We currently have no further questions. I will hand over back to Ned Handy for any final remarks. 
Ned Handy: Well, thank you all for joining us. We really appreciate your time and your interest in Washington Trust. And we look forward to seeing you soon hopefully and certainly talking to you soon. So have a great day, everybody. 
Operator: This concludes today’s call. Thank you so much for joining. You may now disconnect your lines.